Operator: Ladies and gentlemen, thank you for standing by, welcome to the Scripps' First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session; instructions will be given at that time. [Operator Instructions] And as a reminder, this conference call is being recorded. I'd now like to turn the conference over to our host, Head of Investor Relations, please go ahead Carolyn Micheli.
Carolyn Micheli: Thanks Tammy, good morning everyone. Thank you for joining us for a recap of The E.W. Scripps Company’s 2016 First Quarter Results. A reminder that our conference call and webcast includes forward-looking statements and actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. You can visit scripps.com for more information, such as today's release and financial tables. You also can sign up to receive e-mails anytime we disclose financial information and you can listen to an audio replay of this call. A link to the replay will be up there this afternoon and available for a week. We'll hear first this morning from Scripps’ President and CEO, Rich Boehne, then from Chief Financial Officer, Tim Wesolowski, and then Brian Lawlor, who heads our Broadcast Operations, followed by Adam Symson, our Chief Digital Officer. Also, in the room today are Radio Division Head, Steve Wexler and Controller and Treasurer, Doug Lyons. Now here is Rich.
Rich Boehne: Thanks Carolyn, good morning everyone thanks for joining us today. We are looking back at a very strong first-quarter where we reached or in some cases exceeded our financial targets and suppressed our expected political revenue. And since then, we also have expanded our portfolio of national digital businesses. We are now more than a quarter of the way into the selection year and climbing towards the peak of our four year political revenue cycle. We've seen later than expected presidential primary action and earlier than expected spending for US Senate rates in Ohio, Nevada, Colorado and Wisconsin and those are meaningful to our performance in the first half of this year. Television remains the best way for candidates in federal state and local rates to reach a wide swap of highly likely voters. Broadcaster is able to target the most valuable audiences in specific geographies that closely match the geographic structure of the elections themselves. We also build the value of the local TV ecosystem through in-depth news coverage. Scripps has committed to providing at least 100 minutes of election coverage every week in each of our 24 networks affiliate markets. And to further boost that coverage, we recently hired Washington-based Mike Sacks who was reported on Congress for the National Law Journal and Legal Times and he was the founding host of the Huffington Post streaming network. Our political coverage sheds light for audiences on the critical issue facing them in their communities and its further cements our well-established position as the most valuable platform for reaching voters in election years, more from Brian on TV and the elections in just a couple of minutes. Turning to our digital division, a few weeks ago we finalized the purchase of the well-known humor and satire brand Cracked. At Scripps, our digital businesses and investments fall into two pockets, local brands and national brands targeting somewhat different audiences but both supported by evolving advertising formats and platforms. The local web and mobile brands include the .com and mobile businesses in all of our local TV and radio markets. Revenues from those businesses grew really very nicely in the first quarter. The second bucket is the national brands build primarily around video and audio. Among the national brands is Midroll the leader in audio streaming and podcasting. Midroll creates, distribute and monetizes podcast programming which is one of the important emerging mediums for younger audiences. On the video front, our news and information network Newsy is building audience and revenue across web, mobile and social platforms but with a particular focus on over the top media consumers. Newsy is now widely available on the major OTT video platforms, Roku, Apple TV and Comcast Watchable. The most recent additions to Newsy lineup is Sling TV, where Newsy is live and gaining traction. Our newest national brands as I added to the portfolio last month is Cracked which has already strong web, mobile and social media audience. It's large and loyal following has it well-positioned to expand now with much more audio and video. We'll move quickly with Cracked by leveraging the relationships and distribution partnerships we developed with Newsy. Newsy and Cracked also create a very nice network effect from an audience development perspective. And Cracked and Newsy together strengthen our position to win very valuable over the top shelf space. The addition of Cracked now means that nearly half of our Digital Division revenue comes from large scale national brands with the remainder coming from our local digital operations. And Adam will talk more in a few minutes about Cracked audience and you can find an investor presentation and info video about Cracked at our website under Investor Information. Now finally to learn more about our digital strategy please join us on Wednesday, June 29 in New York City where we will host an Investor Day focused on our digital businesses and the broader marketplace in which they compete and build value. Watch for some details in the coming weeks. We're going to talk more that day about our specific Scripps digital strategies, how the over the top market places are evolving and what you need to know about digital programmatic advertising and media consumption trends, hope we get a chance to see it that day. Now here is Tim to talk about our first quarter results.
Tim Wesolowski: Good morning and thanks for joining us today. I'm not going to spend a lot of time repeating the numbers that you can see in our press release. I would like to spend a few minutes talking about the highlights from the first quarter, our cash position, capital allocation matters and our guidance for the second quarter. Brian and Adam will give much more color on our results in a few minutes and I want to remind you that we'll be filing our Form 10-Q later today. Overall, the quarter unfolded very much as we expected, consolidated revenue is right in line with our expectations and segment profit was several million dollars higher as we get a good job of expense control. Of course the political season is ramping up and we were able to capitalize on our terrific political footprint. In the first quarter, our television group's total revenue was up 13% compared to the adjusted combined results, which was at the high-end of our guidance. Expenses were up 14%, also in line with our guidance. The biggest factor driving the expense increase is network compensation expense and remember that our total retrans revenue will be up 50% this year. Our largest expense category is employee compensation and benefits and we were able to hold that category flat versus the prior year's adjusted combined numbers. We booked a bid over $9 million of political revenue in the quarter, principally from our stations in Florida, Michigan, Nevada, Ohio and Wisconsin. In our radio group, we are reporting a revenue decline of about 4.5% compared to the prior year during which the stations were owned by Journal Communications. Similar to last quarter there's a bit of noise in that comparison because Scripps applies a different valuation to non-cash BARDA revenue than Journal did. And on an apples-to-apples basis, ad sales were down between 1% and 2%. April 1 marked the company's one-year anniversary of the closing of the Journal transaction, so beginning next quarter, our quarterly comparisons will be against our actual reported results in 2015 and we can say goodbye to the adjusted combined comparisons. In our digital reporting segment, first quarter results included Midroll which we acquired in July of last year but do not include our most recent acquisition Cracked. Digital revenue for the quarter exceeded our guidance of up about 45%; the actual results show growth of 56%. We also did better on the expense line as our expenses increased 16% versus our guidance of about 30%. These two factors combined to post first quarter digital division results that were $2 million better than the prior year. The lower Q1 expenses came primarily from slower than planned hiring across the division. Our second quarter digital expense guidance is an increase in the high 30% range, both because of our Cracked acquisition and from normal spending in our digital segment. Touching on the balance sheet for a minute, we ended the quarter with more than $95 million in cash and total debt of about $400 million so that's a net debt of about $305 million or net leverage is still about two times on a two-year blended basis. Of course we funded the purchase of Cracked for $39 million after quarter end, even after that modest sized acquisition, we continue to have the best balance sheet in the industry. From the beginning of the year to April 29, we purchased about 760,000 shares of stock for about $13 million. And as of today there is about $71 million remaining under the share repurchase authorization that expires at the end of the year. In the first quarter, our overall tax rate was negative 19% while we reported pre-tax income, we also reported a tax benefit, we adopted a new accounting standard in the quarter that simplifies certain aspects of the accounting for employee share based payments. As a result, all tax benefits on stock compensation will now be recognized in the tax provision in the P&L. We provide a detailed revenue and expense guidance by segment for the second quarter in our earnings release. The Q2 and full year guidance for the digital segment now includes the results of the Cracked business from the time of the close on April 12. Last year, Cracked had annual revenue of about $11 million and was profitable. And during the first 12 months that will operate the business, we expect revenue to grow and the business to contribute to segment profit. We expect more than $7 million of revenue from Cracked in 2016. So to summarize the first quarter, so far so good. Revenue was very much in line with what we thought and our segment profit was stronger. There is Brian to talk about broadcast.
Brian Lawlor: Thanks Tim, good morning everybody. This year the Scripps television division is poised to generate record cash flow thanks in part to about $220 million of retransmission revenue, up 50% and largely driven by the reset of our Time Warner contract to full market rates. And we expect more than $150 million of political advertising revenue most staring in the second half of the year. But as we've said before hitting this full year political ad revenue milestone requires a strong first half performance. and as Tim just reported we are right on track. First quarter was stronger than we expected as the presidential hopefuls ran through the primary calendar with aggressive spending. Candidate and pack advertising was heavy in the key primary states and we saw some earlier than expected senate dollars in Ohio, Colorado, Nevada and Wisconsin. The early activity in these Senate states is essential to our second quarter results. Now we're looking for the start of the Presidential general election in order to size up the second half of the year. We know we'll have an intense fight for the White House accompanied by all the necessary spending. We’ll complement this advertising in our news casts with robust election coverage and analysis that will help our audiences navigate all the races in their markets and make informed decisions. That coverage combined with our unique Washington political sales strategy reinforces Scripps as one of the best positioned to capture political ad dollars. The [indiscernible] Scripps markets did compress some inventory for those stations in the last month of the quarter. We worked to manage our inventory and pricing but ultimately did see some displacement of our core advertising in several of these primary election markets. On a pure spot comparison, revenue for local and national advertising in the first quarter was down 2% on a same station basis to the year-ago quarter, but if you back out the differential from the Super Bowl on only having two CBS stations versus the five NBC stations that we had a year ago, the decline is only about 1%. So as we said before, we focus on maximizing revenue by taking the highest margin dollars and that's exactly what we did this quarter. We were pleased to have such strong political advertising demand which drove our performance to the top of our guidance. Meanwhile we're making strong progress with our original programming; we announced during the first quarter that we're partnering with Raycom to develop concepts for new shows while sharing both the risk and the reward. Having partners like Raycom has served us well with our vial video show right this minute which reaches almost 90% of the country and we'll begin airing this fall on the Disney owned ABC Stations. We're also seeing success heading into the fifth season of our original show The List. Several other media companies have committed to run the show beginning in September, we will have a more formal announcement of those details when we conclude our selling cycle. And now turning to our radio operations, we were down a bit as Tim said in radio advertising revenue during the first quarter. January sales were softer than expected offsetting some pretty good gains in March. Looking ahead to the second quarter, we're expecting some softness in the quarter as a result of some legacy advertisers having paired back their commitment for spending in the Milwaukee brewers, an important revenue line for our Milwaukee radio cluster. Just like in televisions, Scripps radio stations play an important role in the political discourse. In Milwaukee, for instance, our well-known radio commentator Charlie Sykes, received national coverage for his interview with Donald Trump, just before the Wisconsin primary. Charlie continues to be a part of the national conversation and just recently has appeared on Fox News, CNN and MSNBC. And now here is Adam with highlights of our Digital reporting segment.
Adam Symson: Thanks, Brian and good morning everybody. As I begin, I want to remind you once again that the Scripps digital segment is a portfolio of local and national digital products. The local market business had accounted for about 65% of our digital revenue, but the acquisition of Cracked, has both grown our digital revenue pie and redistributed it. We now expect the local business to account for just over half of the revenue giving us a nearly balanced contribution between the local and national businesses. We do expect national scalable businesses to continue to see high growth over the coming years. On the expense side, the division spent a little less than we expected during the first quarter. As Tim mentioned, we took our time finding the right people to fill important positions, especially in sales and editorial. In many cases, those people are now on board and contributing. Now let's start by talking about our local business. We’re off to a great start to the year as we continue to develop our local brands into leadership positions with local audiences and advertisers. We're positioning ourselves to be the local news brands to turn to on all of the digital platforms, including over-the-top television. And I'm pleased to share the news that next week we will launch individual branded Roku apps for all of our local TV stations. We're obviously very focused on the OTT platform. It's as important for our local brands as it is for the national brands that I'll discuss in a moment. I said on our last call that local revenue for the full year 2015 grew about 20% and I'm pleased to say that that pace continued in first quarter. We saw standout growth from sales of pre-roll video inventory as well as in the display advertising we sell-through the national and regional programmatic exchanges. Now let's talk about the newly acquired to Cracked and then the other national brands Newsy and Midroll. Cracked provides a great vehicle for us to continue to diversify our audience and accelerate our over-the-top and broader digital strategy. Cracked is one of the most popular entertainment in comedy and satire brands in digital media. We already know that 18 to 34 year olds heavily rely on satire and humor as the lens through which they view world events, witness the popularity of The Daily Show, The Colbert Report and John Oliver. Younger audiences are choosing new forms of journalism, storytelling and social commentary to help them dissect world events, pop culture, history and science. And on digital platforms, Cracked is a leader in this genre. Cracked distributes its content through a very high traffic website. Each month they reach an average of about 20 million unique visitors. But here is what we find most enticing about the brand. About 50% of that volumes comes directly to the site and then spends an average of 8 minutes engaging with stories and video. That's a strong proxy for loyalty in the digital world and an important reason why we think it's well positioned to make a move into the emerging content marketplaces of digital video, over-the-top television and podcasting. Cracked has already had a good start. It delivers 20 million video views a month and already produces the very popular Cracked podcast with Midroll. Turning to an update now on our OTT News Network Newsy, during the first quarter, we added a number of new distribution and syndication partners to continue our grab for more valuable shelf space. Newsy is now live and on-demand on the most important platforms that deliver video to audiences choosing this marketplace for news and entertainment. We're talking about set-top box platforms and services like Apple TV watchable from Comcast, Pluto TV, Roku, Amazon Fire TV and Google Chromecast. And during first quarter, Dish's Sling TV joined that list. Although it's early in the development of the over-the-top ecosystem, all of these distribution agreements we've signed combined with our marketing activities resulted in Newsy reaching a record audience during the first quarter. Newsy videos reviewed nearly 300 million times across all of our platforms and distribution partners. That's a 40% increase over the first quarter of last year putting us on track to exceed our goal of 1 billion video views for Newsy during 2016. These are important signs of growth for us and Madison Avenue. In fact, Newsy has been invited to tell its story for the first time at the NewFronts in New York on Monday, that’s the digital advertising world's version of the UpFronts, and will be showcasing Newsy to large and influential advertising agencies and brands. Switching to our over-the-top audio business, Midroll is increasing its investment in content by expanding its catalog of owned and operated podcasts and creating more original shows. We’ve recently launched several high profile shows, including the David Gregory show featuring the former Meet the Press host and beautiful stories from anonymous people with comedian Chris Gethard. As a reminder, Midroll makes most of its money from advertising on the dozens of shows it owns and the more than 200 shows it represents. Wrapping up the national side of the house, we're focused on building digital media brands that create high-quality content that resonates with desirable audiences. Regardless of the particular digital platform, people gravitate towards brands that speak to them. It is humor and satire, news with context and good storytelling in general that draws audiences, who then draw advertisers and other sources of revenue. That's why we believe in the scalability and opportunity of these content brands. And now, Tamy, we're ready for your questions.
Operator: [Operator Instructions] We do have a question from Michael Kupinski, please go ahead.
Michael Kupinski: Thanks. Congratulations on a good quarter. Brian, thanks for giving color on the decline in the first quarter core revenues. Given that we have started stronger in political advertising, do you have any revised thoughts on the company’s political guidance for the year?
Brian Lawlor: Good morning, Mike. Obviously, we had a very good quarter. Our first quarter of 9.3 million political was up about 40% over 2012, so that came up of the gate pretty quickly. I think, there is still - especially this week, as we kind of get a feel for the candidates, there is some moving about the electoral vote map, and some potential states may change and swing in and out of being swing states. We still like our footprint a lot, obviously being in Florida, Ohio are going to be critical, Nevada, Colorado, Wisconsin, and it looks like some things that we're reading, Michigan and Arizona may play a larger role than what we expected, but also some others may play a little bit less of our role. I think the biggest thing Mike is, we will look at second quarter to think about - in 2012, really the general election spending started the first week of April and now it’s going to start the first week of June. So some of that growth that we saw in first quarter, we expect that we will continue to be grow up for first quarter and second quarter in terms of true political dollars, but it may not be up 40% because they’re starting actually two months later in terms of the general election spending. So I think second quarter may flatten a little bit out, but we continue to feel really good about the 150 million that we projected for the year.
Michael Kupinski: And there were some concern about Tier 2 auto, can you just talk a little bit about the auto category in the first quarter and when looking in terms of the momentum in the second quarter, other key categories that were strong in the first quarter, it appears not to be following through in the second quarter. Can you just give us maybe some month-to-month pacings and how the second quarter is looking?
Brian Lawlor: Yes, so auto in first quarter was actually down 3, but I wouldn't read into that 3 as much. Again, a lot of that was Super Bowl. Typically, we would sell lot of advertising, and as I said earlier, we had quite a bit of money that didn't return because of our shift from NBC to CBS, so that was much flatter than the 3 really represents. The good news is, we feel really good about second quarter. We like our pacing, we think that the category is going to be up in the quarter and so we feel like automotive remains very strong for us. In terms of the other categories, in terms of services, most of the segments within services remained really healthy, legal, medical, education financial. Financial was terrific for us in the first quarter, it was up almost 30%, which is more than half a million bucks. The one part inside of services, that was pretty soft, in first quarter was insurance, and so there are a couple of markets where there was a big step back in terms of insurance dollars, but all the other segments within services were very healthy. We had a really good quarter in our third largest category, retail. It was up mid-single digits, which is one of the healthier quarters we've seen in a while, so we feel good about that. Travel and leisure was up double-digits, home improvement was up close to double-digits, communication was up double-digits as was media. So again, I think you flatten out the automotive a lit bit as a result of some of our Super Bowl flattening. But everything else was relatively healthy.
Michael Kupinski: And the pacings, it was similar month-to-month in terms of the second quarter, I mean you’re starting off pretty strong and it’s kind of looking fairly strong throughout the quarter?
Brian Lawlor: Yes, I think I don't see a lot of change as we look out to project the second quarter.
Michael Kupinski: Okay. And my final question is when looking at the current M&A environment, do you believe that the discussions regarding M&A have kind of increased now that the FCC is kind of turning its attention towards the forward auction, where are you seeing opportunities at this point is in television or digital?
Rich Boehne: Hey, Mike, it's Rich. I think you're still really in the guts [ph] of that auction period, so I think we’re seeing a lot of changes in the M&A marketplace around the stations. The pipeline is reasonably quiet at the moment. We just did the Cracked deal just a couple of weeks ago, so we're getting that folded in. We continue to look for other opportunities, but nothing that's right on the front burner at the moment.
Michael Kupinski: Okay. That’s all I have. Thank you.
Operator: And our next question comes from Kyle Evans with Stephens. Go ahead.
Kyle Evans: Hi, thanks for taking my questions. Brian, you just ticked down a bunch of ad categories with, that we're looking at down 1% core ex-Super Bowl. And it looks like the guide, if you hold political flat and retrans flat, it’s for down core again. Can you kind of help me reconcile the positive outlook on all of that categories with those two numbers?
Brian Lawlor: Look, as I said, auto was down a bit, and that’s our second biggest category. I talked about some of the segments within services that we're healthy, but the insurance hit was a big one, so that had that category down too. But it's not - the story I was trying to tell is it's not a major problem relative to all the services, it’s just one segment within it. We had some other smaller categories that had some decline. But at the end of it, I think also the fact that and I touched on it in the prepared remarkets, we did have and making some conscious decisions about pre-empting some core advertisers in favor of political. And I think - we talked about it last quarter, but we look at it in terms of what's the total revenue we can drive and we had a heck of a quarter, up over 13%. And I think, we’re looking at second quarter in the same way. We have the target on the big total revenue number and how core versus political shakes out. We will go after the top dollars, the highest price units and so there is - the way we look at it, everything is in fluctuation as we price and move our inventory along. And so we could have taken less political. As I said, we had a record boomer political quarter. We could have taken less political and had core plus 1. And I don’t know, maybe then people would be more excited. At the end of the day, we did as a public company what we think is best, which is to maximize revenue. We had a fabulous Presidential and political quarter and as a result of that, we made conscious decisions that core was going to be down and we were really comfortable with that. I think we will make the same decisions in second. We are looking for a great quarter. It’s going to roll-up with a lot of core and a lot of political, what that balance looks like, we will - I don’t know yet, we will just seize the opportunity as it comes along.
Kyle Evans: Thanks. Could you give us maybe some updated thinking around net retrans for the rest of this year, maybe just an update on the timeline for network and MVPD renewals for the balance of the year?
Brian Lawlor: So we expect our retrans revenue to be about flat Q1, Q2 and Q2 and then we have got a retrans renewal at the end of Q3, which will kick the revenue up in Q4. We’re not updating our full year guidance and we are comfortable with where we talked about retrans being in total. And as far as programming expense, we don’t anticipate much of a change in that on a sequential basis by quarter for the rest of the year.
Kyle Evans: Thank you.
Tim Wesolowski: As you know, we've got our big renewals behind us, ABC, NBC and CBS and those are reflected in the Q1 numbers and shouldn’t be a big change for the rest of the year.
Kyle Evans: Thanks, Tim.
Operator: And we have a question from Marci Ryvicker with Wells Fargo. Please go ahead.
Marci Ryvicker: Thanks. I have a couple. Brian, can you give us the Super Bowl numbers this year versus last year just so we have them?
Brian Lawlor: Marci, there is about almost $0.75 million differential between the two.
Marci Ryvicker: Okay. And then in radio down mid singles, I am assuming that still includes the difference in accounting treatment for [indiscernible] Can you give us - is it still underlying down low singles?
Steve Wexler: Hey, Marci, it’s Steve Wexler. You are referring to second quarter or first quarter?
Marci Ryvicker: Yeah, for second quarter for radio.
Steve Wexler: No, for second quarter we've cycled through the adjusted combined so that's no longer a comparison that we have to explain it with going forward. The second quarter is really more story of Brian mentioned in the prepared remarks Milwaukee where Brewers Baseball has proven to be a little more challenging than we would have expected than that we’ve seen historically. Other than Milwaukee and baseball, a little of softness here and there, but really that's the driver of our guidance for Q2 right now.
Marci Ryvicker: Okay, and then for the digital division, based on your comments, it sounds like you’ve absorbed all of the hiring expenses, so that’s probably what’s reflected in Q2?
Rich Boehne: That’s exactly right, Marci. The Q2 guidance includes the integration of Cracked as well as the pickup in hiring expenses and that's why we reissued guidance for second quarter and the full year.
Marci Ryvicker: Got it. And then the last question is for Tim. Can you give us your expected GAAP tax effective rate for the full year?
Tim Wesolowski: That's very difficult now because of this accounting change. So I think what I would do is for the rest of the year I would assume it's going to be in the 38% range or so, but because of the early adoption that we did of this accounting change there will be more volatility for us and for everybody else. So take that expense in Q1 that we recognized, use 38% for the next three quarters and then whatever that works out to for the full year.
Marci Ryvicker: Great. Thank you all so much.
Operator: Our next question comes from Dan Kurnos with Benchmark Company. Please go ahead.
Dan Kurnos: Great. Thanks. Good morning. Most of my TV questions have been asked so I'll pass to Adam bit here on the digital side, but first just out of curiosity Rich and I suspect there is probably no real firm answer to this but just has the - the CBS’ announcement to IPO the radio business have any impact on how you're viewing your own radio assets?
Rich Boehne: I think the answer is no. You mean does that -
Dan Kurnos: Does it change the way you look at it in terms of the strategic asset or does it - would you be - just how you view the marketplace at all the way that they are viewing their assets right now.
Rich Boehne: Yeah, I'd say again, no, it doesn't have any - for just being a buyer or a seller at this point. Radio for us is primarily a local business that generates good cash flow marries up well with television in some of our markets. So we like the portfolio, we have quite a lot and the obviously we do look for some opportunities, but no I don't think other than seeing the headline about CBS it caused much other excitement or angst around here.
Dan Kurnos: I figured that was the answer, but thanks for the color anyway. All right, so then just turning to digital just a few things here. Is there any way that you guys could give us a little bit more granularity in terms of the performance? Obviously we’ve got some color on local, but just the other buckets, just how they performed in the quarter and then just even diving a little bit deeper now that you've got kind of a wider array of assets, could you break into some of the metrics on the differences in terms of percentage of revenue now coming from state video versus traditional display and both for Cracked and now across the broader portfolio and then even further than that just as you think about sort of the distribution strategy if we could get give any color on kind of how you're structuring some of these OTT deals and just how you think about the entire portfolio from a synergistic basis and not getting to, I don’t want to say scatter win the right word, but making sure that remain focused on aggregating your strategy rather than sort of being pulled in a bunch of different directions? Thanks.
Adam Symson: Sure, Dan. They are great questions. I will start with the question about the revenue split, so as it stands today with the integration of Cracked we're really looking at about a business that’s 55% local, 45% national. And I would expect that we will continue to see local - organically see local revenue growth up around 20% in that range for this year and national up around 70% organically. So we continue to see that the national businesses will grow quickly and those businesses scale. As to sort of going breaking it down by ad units most of the revenue we generate on the local side comes from the sale of display advertising along with passive and video pre-roll. We don’t necessarily breakout the data on looking across the enterprise, but I can tell you when it comes to local advertising and digital display in general we're seeing CPMs on display advertising at about direct sale about $7 and we've moved programmatic up significantly with a lot of focus on direct private exchange deals. We're seeing programmatic hovering at a rate between $2.25 and $2.50 and that's up very significantly over last year. So assuming our sellout is about 45% direct and then 40% programmatic that sort of gives you a sense as to how should I think of the display side. On the video side for our local business we see - we're able to sellout almost between 85% and 100% of our video pre-roll in our local markets directly at an average of somewhere between $25 and $30 CPMs. The rest of it is monetized through programmatic advertising at a rate around $10. So video is still very much in high demand. It's obviously what's pushing us forward in the OTT in the video marketplace. Relative to video advertising with Newsy and where we expect Cracked to be - Newsy CPMs continue to be between $20 and $60 where essentially sold out in the OTT space. This high demand by big brands and advertisers looking to reach younger audiences there. The lower rates continue to see a lot of pressure moving up. So we feel pretty good about the way that business is developing and that's really what's behind pushing Cracked on the video platforms. Today Cracked does that 20 - there is 20 million video views, really they through demand media they really dependent on YouTube to serve those - that audience and to sell the advertising. So we think there is a lot of room ahead as we move Cracked on to some of our video platforms. And then finally as it pertains to the audio business with mid-roll, this quarter mid-roll managed about 407 million impressions and depending on the audience size podcast, that's an average of around $25 to $30 CPMs. But they can go as high as $100 for some of the big top rated shows. So those are sort of the metrics I think we keep track of downloads and impressions. As I mentioned going back to Newsy for just a second, we're very focused on video views as a metric with Newsy and we did just under 300 million video views in the quarter. By the way I just want to let you know we're seeing quite a bit of pressure on our video inventory with local and Newsy as a result of political. There is just an incredible amount of demand for political pre-roll and we're working as hard as we can right now to generate as much video as we can in our local markets and with Newsy because we see the buyers just sort of standing by looking to make buys in pre-roll advertising up political dollars. Does that answer all your questions, Dan?
Dan Kurnos: Yeah, I think most of them and I can maybe follow-up another time. Just out of curiosity then Adam just one more from a high level perspective. As this all continues to scale, I understand why your focus is on impressions and video views, that's obviously the monetization of that, but I also understand there is a lot of noise around the year-over-year traffic metrics particularly as it relates to Cracked and I have seen comScore numbers, but I am just curious if you're going to start thinking about aggregated audience eyeballs and/or starting to give OTT subscriber metrics blended as more telling story of your scale and reach?
Adam Symson: Yeah, Dan, I mean there is a tremendous amount of conversation between Tim and Carolyn and Rich and I about how we help you guys size the business and the progress we're making. The tough part of it is many of these platforms use different metrics to share with their partners. As an example, Pluto where we're seeing really great traction with Newsy and Cracked shares minutes listened while directly with the Apple TV and Roku we can measure video views. And so coming up with a metric that helps you see the progress we're making is definitely - there is definitely some work going on back here. But suffice it to say we're definitely focused on it. Right now the best sort of way to tell the story is in fact to focus on the audience reach. On the broader question of how we make sure that we are effectively managing the relationships with the partners, the way these agreements work, they either come with a revenue share where we sell the advertising and share revenue back to the platform where the platform sells the advertising and shares the revenue back to us or we split the impressions and each one of them is different. So unlike I'd say television and cable which have evolved to a place of mature stability and are easy to understand, this is such a fragmented marketplace that we're managing our way through these relationships every time ensuring that we work out the best deal we can for the future of the business. The other thing that some of these deals have down the road is the potential for carriage fees. And so we don’t have much to say about that right now, but we've definitely structured the deals in a way that gives us that opportunity down the road.
Dan Kurnos: That was the OTT part, that’s really helpful and if they get re-classed as MVPDs it certainly would make some sense. All right, thanks. I really appreciate all the color on that.
Adam Symson: Sure. Thank you.
Operator: We have a question from Craig Huber with Huber Research. Please go ahead.
Craig Huber: Yes, good morning. Thank you for taking the questions. Brian, I guess I will start with you if I could please. What’s your preliminary thoughts on the broadcast network upfront here and how do think it’s going to track [indiscernible] last year?
Brian Lawlor: Obviously I think it had a good year last year and I don’t have any reason or understanding to believe that it’s going to be any different this year.
Craig Huber: No significantly better or worse is your thinking?
Brian Lawlor: Obviously we're not as close to it as some other companies, but I haven't seen big changes kind of forecasted.
Craig Huber: And also obviously the broadest network advertising has been pretty robust last six months. We're not seeing much flow through though down to the national advertising and local TV stations out there including your own, but your peers as well. Why do think that is, Brian?
Brian Lawlor: Honestly, Craig, I think we are. Our national and some of our bigger markets has been a nice improvement for us over where we had been really the two years prior to the last couple of quarters. We were seeing some big declines and it was because the network was running open and as a result of that we would have money on our books and then national advertisers were canceling it, because at the last minute, they could buy the whole country cheaper than say the top 50 DMAs. And that isn't the case anymore and we are seeing that that pressure kind of trickle down and some scattered trickle down to our top - our top five or six markets, which were on the top 20. So, and then obviously, lots of stuff is moved in and out. It always has and it always will through the national line, but I do think we're seeing a positive impact on our largest markets as a result of the health of the network right now.
Craig Huber: Could you just talk further if you would please, Brian, on the TV advertising pacing that you're seeing in the second quarter, are they sort of tracking flattish or slightly up, slightly down, so far?
Brian Lawlor: Yeah. I think it's kind of, if you look in the totality of what we've reported as kind of consistent with the first quarter, but as I said the categories are tracking well, the key categories are tracking well and we had a fair amount of political in April as result of a couple of primaries in early April. So again, we look at the big picture of the political and the core combined, but I think it's going to be a healthy quarter when both roll up.
Craig Huber: In your guidance, Brian, for the second quarter TV advertising, is political - are you sort of stabling that's going to be not at the same 9 million number at the first quarter, might be like 5 million, 6 million, 7 million. Is it sort of what you’re thinking?
Brian Lawlor: Yeah. I'm definitely not signaling that. I definitely think we have an opportunity to grow over that $9 million in the second quarter. What I did signal was maybe we were up 40% over 2012. I don't think we'll be up 40% over second quarter 2012, just because of the later start. Craig, I do want to point out one thing, I just found this to be fascinating as we kind of rolled up, you and many others on the call and other investors have asked us about the Trump factor and what does that means for us. And when we rolled up everything and looked at the first quarter, all of the spending by the individual candidates, not the packs. On the Republican side, obviously, we had five or six different candidates from Cruz and Carson to Rubio and Kasich, but at the end of the day, Trump spent more money across our stations than any of the other republican candidates. So I think that maybe contrary to what some of you have been led to believe. But as I have said a couple of times, when it matters, he spends in the states that is critical for him to win. And that has been our case, we're in a couple of those key markets, Ohio, Florida were really important for him to win, Wisconsin, he's spent a lot and when he was all set and done, he spent a good bit more than all of the other candidates that were running for President on the Republican side. So maybe that gives you all hope as he now is going more public about raising more money.
Craig Huber: Also your comments, Brian, I appreciate that, your comments on auto tracking better here in the second quarter, meaning up, I assume that's sort of maybe up mid-single digits, I assume if it's tracking more than 10% you would have told us.
Brian Lawlor: Yeah. I don't see double-digit growth.
Craig Huber: Okay. And then let me switch over to digital if I could please, I was curious on the cost side within digital, just looking at your historical guidance, pulling the press release, it looks like three of the last four quarters, your digital cost guidance came in meaningfully lower, which is a good thing than your guidance and you've talked about here before about the hiring plans were not as robust as it turned out than what you originally were thinking, how should we however, knowing that historically, how should we think about the second quarter, your guidance here for cost, I guess I'm getting at is, are you being overly cautious here, it’s a room for - you come in better than your guidance for digital costs in this quarter?
Tim Wesolowski: Hi, Craig. Well, I mean, we issued that guidance using our best, our best skills at the time and I'd say these are businesses in development. So obviously I'm happy with the first quarter results and I'd like to be able to say that we can deliver those kind of results all the time, but the fact is that, we are pretty intentional about the investments we're making in order to see value and return. So, yeah, we had a great first quarter, but we're still very much in a period of investment, especially in the national side and I'd expect that investment to accelerate as we - through this year, as we continue to hire more people at [indiscernible].
Craig Huber: The last question I'd promise is, your full year guidance, it sounds like from your press release, there is no change when you put your full-year guidance at the end of January versus today except for this Cracked acquisition in digital. Is that fair?
Brian Lawlor: Yeah. I think that's a fair way to look at it. The segment losses, it looks about to be the same. Remember that the digital segment of that portfolio, different products and businesses, each in their different place and time in a business lifecycle. So, adding crack then, as I think Tim said, we expect it to contribute north of $7 million in 2016 and remain profitable.
Craig Huber: And then for the whole company, full year guidance has not changed other than the digital nuances, you put out there at the end of January?
Tim Wesolowski: Yeah. That's correct. We didn't update any guidance for anything else and the only reason we did in digital is for Cracked.
Operator: And we have a question with Tracy Young, Evercore. Please go ahead.
Tracy Young: Hi. Brian, you gave some of the color on political, just following up, and you may have said this, but how do you see the breakdown between Presidential versus local braces? And then in terms of the total dollars for the year, do you still think the number will be around 150 million considering there is more of a flattening out in Q2.
Brian Lawlor: Hey, Tracy. It’s Brian. We haven't changed our forecast of 150 million at this point. We may have a better feel for it at the end of the second quarter to see if there's an opportunity to change that at all. I think we've talked in the past about, we know how tight the back half of the year is going to be, but really the first half is where you can get some distance between your projections. So we'll have to see how the next couple of weeks play out. The good news is the Senate spending has been very good for us. That was a big foundational part of our first quarter success and continues. I woke up this morning, I turned on the TV and there behold was a Senate ad, the very first thing I saw and I knew it would be a good day. So in terms of just the kind of the breakdown for the first half, for the first quarter, I'm sorry, total candidate spending was about 55% in the quarter, which meant issue in Pac was about 45%. A lot of that was obviously Presidential candidate, of the candidate spending, about half of it was Presidential candidate. So we don't think that that's how the year will go. We would expect when it's all said and done that issue on PAC takes on about 60% of our billing for the year. But in the first quarter, we had a higher influence of candidate spending than we normally would track for the whole year.
Tracy Young: Okay, thanks. And then Tim, I may have missed in this release, but do you have a cash interest number and the CapEx number for the quarter?
Tim Wesolowski: Cash interest wouldn't be that much different than the interest expense number and the other one was CapEx, yes, I do. Hold on a second. CapEx was about 7.
Operator: We have a question coming from Barry Lucas with Gabelli & Company. Please go ahead.
Barry Lucas: Excellent. Thank you and good morning. Brian, I just - I don’t want to beat this to death on the services category, but was the comps differ on insurance, was that kind of Obama care related and if so, when do you think you would lap that?
Brian Lawlor: A little bit was Obama care Barry, but it was actually a couple of more traditional life and auto folks, really kind of focused on what we call the desert region, Phoenix, Tucson, Las Vegas, that's where a lot of that insurance kind of dried up for the quarter. Honestly, our decline was over $1 million in the insurance category. So that's what drove services to just be off 2%, but I talked about all the other elements within services that were very healthy. So that was the one nugget and that's the one region, but not a lot of it was Obama care.
Barry Lucas: Great. Okay, thanks. And I want to get back to capital allocation if we could, and kind of the appetite as you look at the landscape, digital television stations and/or your own stock, which has been under fair amount of pressure of late. So for Rich or Tim, how do you think about that? How do you balance it and would you consider stepping up to the plate if something were to become available in terms of a station or a group in the near-term.
Rich Boehne: Yeah. Hey, Barry. It’s Rich. Sure, and I think obviously we have, and I would - recent months, we have picked up Cracked, we have also - hasn’t been too long ago, we picked up some stations and obviously we did a big restructuring of the company that put us into a whole bunch of more TV markets just only just a year ago. I would just think it about this. If you look at looking at our dashboard and our uses of cash over, let's say four years across the revenue cycles, we’ve used about 50% of our cash to buy TV stations, little less than 20% or about 20% to make digital investments and the other third of our cash, we used to return capital. So that's probably sort of a look at the way we would look at the - think about the balance that would be consistent with the way we think about it today. So yes, if we see the right opportunity, we definitely would step up as you all know, we like a conservative very flexible balance sheet, so that when the world turns inefficient and chaotic, we can take advantage of opportunities to make outstanding buys on behalf of our shareholders. So, yes, I don't know if we are looking particularly conservative at the moment, but we have a great balance sheet and continue to look for good opportunities to show very strong returns.
Barry Lucas: Thanks for that Rich. To the extent that you are potentially talking to sellers on the station side, is reluctance a function of what's going to come out of the auction or nobody's talking because of what's going on in the - about to go on in the forward order?
Rich Boehne: I think generally speaking, there is a little bit of stuff in the pipeline, stuff that you know about and there are some stations obviously coming out of some combinations that have been out on the market. But if you sort of stand back and look at it, I think due to the auction, the M&A market for stations has been fairly quiet. And probably will be until you get some real full clarity on the other side.
Operator: We have a question from Mario Gabelli with Gamco Investors Inc. Please go ahead.
Mario Gabelli: [indiscernible] It was just really your vision for the benefits of consolidation, but obvious sellers out there like X, Y and Z, I don't want to mention them on the phone. So, thank you very much and look forward to tracking your success. Take care.
Brian Lawlor: Yeah. Good to hear from you Mario.
Operator: And there is no further questions in queue.
Carolyn Micheli: Thanks, Tammy. You want to go through the replay details?
Operator: Sure. Ladies and gentlemen, this conference will be available for replay after 11 today through May 20. You may access the AT&T Executive replay system at any time by dialing 1800-475-6701 and entering the access code 385051. International participants dial 320-365-3844. And those numbers again are 1800-475-6701 and 320-365-3844, access code 385051. Go ahead.
Carolyn Micheli: Thanks, Tammy and thanks to everyone for joining us today. We hope to see you June 29 in New York. Take care.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participation and for using AT&T executive teleconference. You may now disconnect.